Operator: Good morning, ladies and gentlemen, and welcome to the Omnicom second quarter 2014 earnings release conference call. (Operator Instructions) At this time, I'd like to introduce you to today's conference call host, Executive Vice President and Chief Financial Officer of Omnicom Group, Mr. Randall Weisenburger. Please go ahead, sir.
Randall Weisenburger: Good morning. Thank you for taking time to listen to our second quarter 2014 earnings call. We hope everyone has had a chance to review our earnings release. We posted on the omnicomgroup.com website, both our press release and the presentation covering the information that we'll be reviewing this morning. This call is also being simulcast and will be archived on our website. Before we start, I have been asked to remind everyone to read the forward-looking statements and other information that's included at the end of our investor presentation, and to point out that certain of the statements made today may constitute forward-looking statements and that these statements are our present expectations and that actual events or results may differ materially. I'd also like to remind you that during the course of the call, we will discuss some non-GAAP measures in talking about Omnicom's performance. You can find the reconciliation of those measures to the nearest comparable GAAP measure in the presentation material. We're going to begin the call with an overview of our business from John Wren. Following John's remarks, we will review our financial performance for the quarter, and then both of us will be happy to take your questions.
John Wren: Good morning. Thank you for joining today's conference call. As I am sure you've seen, Omnicom had a very strong second quarter with organic growth up 5.8% over the same quarter last year, and we are on track to meet our revenue and margin targets for the full year. Our results this quarter speak for themselves. Our agencies and our people have stayed focused on servicing their clients and building their businesses. At almost 6%, this is the best organic revenue growth rate we've posted since the third quarter of 2011. Since the beginning of the year, we have won approximately $2 billion of new business, including such well-known brands as Johnson & Johnson, CVS, Sony, Heinz, Dixon, and several new assignments in the pharmaceutical sector. During the quarter, we resumed our longstanding policies of returning our free cash flow to shareholders. In May, we increased our dividend by 25% and resumed our share repurchase program. Since mid-May, we've repurchased over $550 million in stock. Examining our performance, I'll point several factors, which contributed to our revenue growth. The biggest driver was our performance in United States, which was extremely strong with organic revenue growth of 8.8%. This growth was fueled by our media operations, including continuing strong results in search, social and programmatic trading. U.K. also continue to perform well, with mid-single digit growth driven by strong performances in media and public relations. In other parts of Europe, Germany was positive for the third straight quarter, while France continue to be negative. And in the larger developing countries, such as Brazil, India and Russia, we experienced strong double-digit growth. Our agencies also performed well in China, with high-single digit growth. Our margins were up nominally due to several factors, which Randy will address in his remarks. But overall, I'm very pleased with our operating and financial performance, as we go into the second half of the year. Let me now provide you an update on the progress we're making against our core strategies to drive growth. These strategies share a goal of helping us meet the rapidly changing needs of our clients, by giving them access to the best people and the latest technologies, where and when they need it. They are the same, as you've heard before. Attracting, retaining and developing top talent; expanding our global footprint and moving into new service areas; building our digital and analytical capabilities, by investing in agencies and partnering with innovative technology companies; and delivering big ideas, based upon meaningful consumer insights across all marketing communication channels. Our progress is really a reflection of the caliber and contributions of the talented people, and that showed itself again this year in Cannes. Omnicom won more Grand Prix and Gold Lions combined than any other holding company. Let me mention just a few of the highlights from this year's festival. Adam&Eve DDB in the U.K. was named Agency of the Year, winning a total of 22 awards, including four Grand Prix Lions. Our media networks, OMD and PHD, dominated the Media Lions Category with 16 Lions. BBDO and DDB were among the top-three networks for the eighth consecutive year. And as a testament to the diversity of our service offerings from our largest creative networks, BBDO, DDB and TBWA, all won Grand Prix awards across multiple categories. I want to congratulate all of our people and agencies for their outstanding work that made Cannes 2014 such an amazing showcase for our industry. The premium on big creative ideas has never been greater, but as I have said before, an idea is brilliant, only if brilliantly executed. As I look at the talent in Omnicom, I want to specifically mention several changes, which have been announced in the past several weeks. Troy Ruhanen has become the President and the CEO of TBWA, succeeding Tom Carroll, who continues to serve as Chairman. This move demonstrates our emphasis on well thought out long-term succession planning. Troy was identified as a potential network leader some time ago, and Tom Carroll and I decided together, that when it came time, Troy would be the right leader for TBWA. His experience in leading Omnicom agencies across geographies, disciplines and categories, makes this a seamless transition that will further enhance TBWA's capabilities and reputation. Troy has been with Omnicom for over 10 years and is now one of five network heads with long tenures. Troy's prior role at the holding company will be assumed by Peter Sherman, who recently rejoined Omnicom from J. Walter Thompson. Peter will be working to ensure we are driving agency collaboration and innovation for our largest clients. And in terms of our ability to attract talents from the outside, last quarter we also filled two very important and strategic positions. Alexei Orlov joined as CEO of RAPP and Emma Sergeant joined as President of DAS Europe, industry veterans with significant agency and client experience. Having experienced network and agency leaders, who know each other well is increasingly important, because collaboration has become the new normal. The lines between disciplines have been blurred. Clients more and more want integrated solutions. Turning now to our progress on expanding our capabilities. We made an important acquisition last quarter, the TBWA Worldwide acquiring Heimat, which is a leading, independent advertising agency in Germany. Heimat will merge with TBWA's existing operations in that market. Also in Europe, RAPP announced its acquisition of Haygarth, a. U.K. based brand and retail agency. This is a smart transaction that will combine Haygarth's expertise in digital shopper marketing with RAPP's globally focused data insight and technology expertise. Yesterday, Omnicom's DAS Group announced the acquisition of an interest in In Press, a leading PR company in Brazil. In Press has been an affiliate of Porter Novelli's network since 1999. As you know, Brazil is a key market for both our clients and our businesses, and formalizing this partnership will provide opportunities for growth in years ahead. In addition to these acquisitions, we continue to make internal investments in our networks, agencies and platforms. On the topic of digital strategies, I will remind you of what I said in our last call, about the way Omnicom breaks down the broad category of digital. First, we've always believed that anything that can be digital, will be, and that means pretty much everything we do. We have long encouraged and helped our agencies to invest in digital skill sets and talent, and they all have. Whether in brand advertising, shopper marketing, PR or any of our disciplines, all of our agencies have developed and hired talent to embed digital capabilities in our core offerings. Second is an area of data and analytics. New platforms that enable market as to identify and reach the right people at the right time in the right place, and even when they are in the right frame of mind. For us that's analytic, with more than 1,200 professionals in 45 markets. Analytic is the resource for all Omnicom companies. Third, is an area of technology-driven marketing, such as e-commerce and m-commerce, where firms like the Lloyd, IBM, Wipro, and agencies like Sapient compete. We have some capabilities in this area and we see it as a potential opportunity for further growth. Looking at analytic, we distinguish its capabilities by forming global relationships with major technology and media companies, rather than making bets on specific platforms. And we continue to be the first movers in employing the latest media, technology, data and e-commerce tools through more than a 100 partnership agreements, where we are levering on behalf of our agencies. Last quarter, Omnicom signed a first of its kind agreement with Twitter. There are at least three important features with this agreement. First, it gives first look to Omnicom's creative teams, a format being developed by Twitter. Second, it provides design and strategic collaborations from Twitter for all of Omnicom's agencies. And finally, it integrates Twitter's recently acquired mobile ad exchange, MoPub with Accuen. I mentioned at the beginning of the call that one of the main drivers of Omnicom's second quarter performance was our media operations, which includes search, social and programmatic trading. For Omnicom, those capabilities are captured within Annalect. Over the last three-and-a-half years Annalect has produced game-changing tools in the area of analytics and built one of the industry's larger data management platforms. They have also assembled a talented team of data scientist from other industry fields. Some of these analysts are now being deployed within our advertising network, so it's BBDO working directly with our account teams and clients. And to further deliver on this front, Annalect recently hired a Chief Analytics Officer, who will expand our data science practice across Omnicom. Before handing the call over to Randy, I'll close it by saying, it was a solid quarter for Omnicom on all fronts. We posted the strongest organic growth we have had in quite a while, and we're on track to meet or 2014 revenue and margin target. Our buybacks have been resumed and we've increased our dividend. I said recently that Omnicom is strong, innovative, energized and ready for the future, and that is certainly the way we feel this morning, based upon our second quarter results. I want to thank all the people at Omnicom; our many stakeholders, who have supported us along the way; and our very, very important and supportive clients. And with that, I'll turn this over to Randy, and then he and I will be available for questions after. Thank you.
Randall Weisenburger: Thank you. As John pointed out in his comments, our agencies have done a great job and are on a good track. Over the course of the last year, they've remained laser focused on serving the need to their clients, and they've continued to make excellent progress against both their strategic and operational objectives. And as you can see, they've again delivered excellent financial results. Revenue for the quarter came in at $3.87 billion, up 6.4%. The year-over-year increase was driven primarily by very strong organic growth of 5.8%. And for the first time in 10 quarters, FX was positive, at least from a revenue perspective. I'll go into more detail on our revenue growth in a few minutes. Moving down to P&L. First, I want to point out that we've now fully recognized all of the expenses related to the terminated merger. During the quarter, the pre-tax cost, which were predominantly professional fees, totaled $1.8 million. For the six months, the total is about $8.8 million. In addition, for tax purposes, after the termination, we were able to deduct any previously capitalized cost associated with the merger. As a result, this quarter, we realized an $11 million tax benefit. The net EPS benefit this quarter was about $0.03 per share and for the six months it's about $0.01. Because these numbers are not significant and they're behind us, we've eliminated the non-GAAP presentation, we've shown for the past few quarters. Back to the P&L. EBITDA increased 4.7% to $574 million in the quarter and resulting EBITDA margin was 14.8%, down about 25 basis points from last year. The decline in margins was due primarily to three things. First, although FX this quarter was positive for revenue, it had about a 10 basis point negative impact on operating margins. In several of our larger higher-margin markets, primarily Australia, Brazil, Canada and Russia, FX was very negative and negatively impacted our margins. Also in the U.K., where we have much of our European corporate infrastructure, while FX was positive to revenue, it also inflated those corporate costs, again hurting our margins. In addition to FX, our margins were hurt to some extent by our mix of business in the quarter. And finally, as I mentioned earlier, we had approximately $1.8 million of cost related to the merger in the quarter. When we analyzed our businesses unit-by-unit in their local currencies, in aggregate, operating margins showed modest improvement year-on-year. Operating income or EBIT performed similarly. It was up about 4.9% for the quarter to $548 million and our EBIT margin was down by 20 basis points. Turning to Page 2, and looking at the items below operating income. First, net interest expense for the quarter was $33.7 million, down $7 million year-over-year and down $5.3 million from the first quarter. The decrease in net interest expense is primarily related to the benefits we are realizing from the fixed to floating interest rates swaps we entered into, related to our 2022 senior notes, which we executed early in the second quarter. We had gotten to the point, where virtually all of our debt structure was fixed rate. With this change, we're now about 25% floating rate and we are evaluating, moving closer to a 50-50 structure by yearend. Our quarterly reported tax rate of 31.1% reflects the impact of approximately an $11 million tax benefit we recognized in the quarter related to the previously incurred merger expenses, which will require to be capitalized for tax purposes prior to the termination of the merger. Our underlying operating tax rate continues to be about 33.2%. And while we're always looking for ways to improve the efficiency of our tax structure, given where we are currently, we expect our operating tax rate for the year to stay around 33.1% or 33.2%. Earnings from our affiliates increased $1.1 million in the quarter to $4 million and the allocations of earnings to the minority shareholders in our less-than-fully-owned subsidiaries also increased $1.1 million to $33.2 million. As a result, net income increased 12.3% to $325 million. On Slide 3, we show the allocation of net income to participating securities, which are the unvested restricted shares held by our employees. The remaining net income available for common shareholders increased 13.2% for the quarter to $319 million. This chart also shows our diluted share count. As you know, we restarted our share buyback program in mid-May. In the quarter, we bought back about 7.9 million shares net. But since we didn't start buying until midway through the quarter, the share buyback is not yet fully reflected in the weighted average share count. As a result, the share count for the quarter is down only marginally year-over-year. Given our overall strong performance in the quarter and the $0.03 per share benefit I mentioned earlier, EPS increased about 13% to a $1.33. On Slides 4, 5 and 6, we present the P&L information for the six months to date. To save some time, I'll just give a few highlights. On Page 4, revenue was up about 4.8%, driven predominantly by organic growth. EBITA increased about 4% to $981 million and our EBITA margin was 13.3%, down about 10 basis points. Included in EBIT is about $8.8 million of merger related costs, which brought margins down about 10 basis points and FX negatively impacted margins by another 10 basis points. The underlying operating margin year-over-year was actually up about 10 basis points. On Page 5, net interest expense for the six months is down $9 million, primarily due to the interest rate swaps we completed in Q2 as well as good cash performance. The reported tax rate was 32.2% brought down by the $11 million tax benefit I mentioned. And equity and affiliate income was down $1.5 million and the minority interest allocation was up $4 million. This all resulted in net income increasing 7.3% to $531 million. On Page 6, you can see the weighted average share count is flat and EPS increased 8% to $2 per share. On Slide 7, we start reviewing our revenue performance. First, with regard to FX. While, overall it was positive, it was very mixed. On a year-over-year basis, the dollar weakened against both the euro and U.K. pound, however, it strengthened against the currencies in a number of our other significant markets, including Australia, Brazil, Canada, India, Russia and South Africa. The net result increased our revenue for the quarter by $26 million or about seventh-tenth of a percent. Looking ahead, if FX rates stay where they are currently, we expect FX to be positive to revenue by about a 125 basis points in Q3 and by about 26 basis points in Q4. Revenue from acquisitions net of dispositions decreased revenue by $5 million. Fortunately, we've now cycled through the Q2 2013 sale of a recruitment marketing business. And with the transactions that we've completed through June 30, we currently expect acquisitions net of dispositions to add about 50 basis points to our revenue in both the third and fourth quarters. And most importantly, organic revenue growth was positive $213 million or 5.8% this quarter. It was a strong quarter with positive growth across each of our disciplines and most of our major markets, with the exceptions being France and Canada. The primary drivers of our growth this quarter included excellent performance across our immediate business driven by both new business wins and the continuing development of new media. Also, our agencies in the emerging markets continue to perform very well. This quarter we had excellent performance in Brazil, China, Columbia, India, Malaysia and Russia. And we continue to see very modest recovery in Europe. Slide 8 covers the year-to-date results, which are basically in line with the quarter. Slide 9 shows our mix of business for the quarter, which again was split about evenly between advertising and marketing services. As for their respective growth rates, brand advertising was up 10.5% driven as I mentioned by the excellent performance of our media businesses and marketing services was up 1.5%. Within marketing services, CRM was up 1.1%, with mixed results across businesses, mostly driven by individual agency performance. Public relations was up a very solid 4.1%, and specialty communications was up about 20 basis points. However, the underlying performance looks generally good. We're just up against the difficult comp number from last year in our healthcare businesses, which had growth of almost 10%. Flipping to Slides 10 and 11, we present our regional mix of business. During the quarter, the split was 57% for North America, 29% Europe, 10% Asia-Pacific, with the remaining business split between Latin America, and Africa and the Middle East. Turning to the details on Slide 11. In North America, we had organic revenue growth of 7.9%, driven this quarter by the performance of our media and PR businesses. Our other major regions all had positive organic growth as well. Europe was up 2.1%, led by continuing strong performance in the U.K. and Russia. Solid performance in Germany, Ireland, Portugal, Spain and Sweden, and as I mentioned France continued to struggle. Asia-Pac was up 5.1%. We had strong performances across most of the region, with Australia, China, India, Malaysia and South Korea leading the way. Latin America was up 7.8%, again led by strong double-digit performance in both Brazil and Columbia. And Africa and the Middle East was up 2%. On Slide 12, we present our mix of business by industry sector. Keep it in mind, these are year-to-date figures and are total growth, not just organic growth. As you can see, the larger changes year-over-year were in our retail, telecom and other industries group. The retail sector increased on the strength of new business wins over the past few quarters. And within other, we've benefited from both new business wins as well as increased spending from our services, multi-industry conglomerate and government clients. Turning to our cash flow performance on Slide 13. First of all, it was a pretty good quarter. We generated almost $760 million of free cash flow, excluding changes in working capital during the first six months of the year. As for our primary uses of cash, on Slide 14, dividends paid to our common shareholders was $212 million. This was up significantly from last year, when we paid our normal Q1 dividend in the fourth quarter of 2012, and it reflects the recent increase in our quarterly dividend to $0.50 a share. Dividends paid to our non-controlling interest shareholders increased with performance and FX changes to $66.5 million. Capital expenditures of $92 million was up about $23 million from the same period last year. The increase is a combination of timing differences and a couple of larger office relocations during the period. Acquisitions, including earnout payments, net of the proceeds received from the sale of investments, totaled $105 million. And finally, stock repurchases net of the proceeds we received from stock issuances under our employee share plans totaled $554 million. As I mentioned earlier, we restarted our share program in mid-May and have so far purchased about 7.9 million shares net. As a result of all of that, we outspent our free cash flow by about $270 million for the six months. Turning to Slide 15, focusing first on our capital structure. As of June 30, it remains effectively unchanged compared to last year. But as you may be aware, in June, we called our convertible notes for redemption at the end of July. Our net-net position at the end of the quarter was $2.5 billion, an improvement of about $120 million from last year. Our total debt to EBITDA ratio at the end of June stands at 1.9x and our net debt to EBITDA ratio was 1.2x. And due to both, the decrease in our interest expense and the increase in EBITDA, our interest coverage ratio improved to 11.2x. On Slide 16, you can see, we again delivered excellent returns on both total invested capital and common equity. While both return figures were impacted by the suspension of our share repurchase program over the last year, we remained very strong with return on invested capital of 16.9% and return on equity of 31.5%. And finally, on Slide 17, we track our cumulative return of cash to shareholders since 2004. The line on the top of the chart shows our cumulative net income from fiscal 2004 through June 30 of this year. That totaled $9.4 billion. And the bar show the cumulative return of cash to shareholders, including both dividends and the net share repurchases, the sum of which during that same period totaled $10.1 billion for cumulative payout ratio of just over 107%. And now that concludes our prepared remarks. There are a number of other supplemental slides included in the presentation materials for your review, but at this point we're going to ask the operator to open the call for questions.
Operator: (Operator Instructions) And our first question today comes from the line of David Bank representing RBC Capital Markets.
David Bank - RBC Capital Markets: There are two quick ones. First I think in the very beginning of your commentary you had said that you felt like you were on track for your full year revenue growth and margin targets. Could you remind us of what it is you're on track for? And then the second question is, kind of more big picture, as you look across the landscape now, especially having a hard time to contemplate, I think the contrast in business mix with you guys in Publicis, but if you look more broadly to all of your competition, how would you say your business mix differs from other major players in the landscape? And how does that impacts margin performance, both sort of near-term and longer-term.
Randall Weisenburger: I think we started the year telling people that we expected organic growth to be in the 4% to 4.5% range for the full year. We do think it bounced around a little bit. And we said, flat to up 10 basis points in margins, I think right now we certainly think from an operations or efficiency standpoint that our companies are making all the right moves and the underlying operating performance is there. The FX headwind is tougher than we expected starting the year. So if you wait a week, FX will change, which way it changes I am not sure, but if it stays where it's at, flat margins will be probably the better end of what we can achieve given that FX impact. We also had $8.8 million in these numbers of merger expenses, going through that isn't something that we were contemplating, we were saying flat to up 10 basis points of margins, either. Your second question was mix. Every one has got a little bit of, obviously different mix. It's hard to know exactly what the revenues or margins from each of the different businesses people have are. Certainly WPP has a fairly large research business that I don't think any of us has of that type or magnitude. They have a large media business. Publicis has a large media business. We have a large media business, but on a relative scale, that would be a smaller percentage of our business, than say it would be for Publicis, not a 100% sure from a WPP standpoint. We think it would be a bigger percentage. We have I think much larger field marketing and marketing services businesses, things in the area of branding, field marketing, events, promotions, those sorts of things. I'm not sure from an IPG standpoint, the relative size of those businesses and its mix. I know ours is quite a bit larger than Publicis or WPPs. Everyone talks about digital, we tend not to. We don't actually think digital is a so called business. Digital was a medium or a technology that we want every one of our businesses, irrespective of their underlying discipline to be utilized and to figure out how to provide a better service to their clients and to grow their revenues. That that probably covers it, I think.
David Bank - RBC Capital Markets: And anything about the near-term business mix that would make sort of margin performance different from the peer group or those all sort of more broader, bigger picture, longer-term issues, or you know contrasts?
Randall Weisenburger: Well, business mix can move your margins around a little bit. It affected us a little bit this quarter. It all depends on which business is doing well. I'd say one of the reasons that I have told people that we're focused more on margin dollars than margin percentages, if we have a company that comes in that can win a client, win the next $100 million piece of business, that's going to generate $6 million or $7 million of operating income, if it doesn't require capital, that's something that we wouldn't say, don't do it. We think that would be very positive for shareholders, very positive for our business overall. If we were focused only on margins that would be a piece of business that would be dilutive to our reported margins and the natural outcome of that would be to not pursue that business, even though it's economically very accretive to shareholders. So that's not been our focus. We want each of our businesses to be as efficient as possible, and to grow their businesses economically for all of our shareholders.
Operator: Our next question today comes from the line of Alexia Quadrani with JPMorgan.
Alexia Quadrani - JPMorgan: Just a couple of questions. My first question is on the impressive organic revenue growth you guys saw in the quarter. I know you gave a lot of detail what was behind it and I appreciate that. But if you were to pinpoint, I guess, what was the delta this quarter to give it, the best quarter you've seen in several years as you highlighted it, I guess what was different this quarter?
Randall Weisenburger: I'd say a few things and John can comment too, if he wants later. First is less negatives. So most of our businesses did fairly well, so we didn't have a lot of, I'll say headwinds in any one spot. So that's always a plus. Our media businesses did very well. A lot of that is some new business wins that happened last year in the third and the fourth quarter, and some this year in the first quarter. So that rolling through was very helpful. Our Accuen is doing well. That was up I think $30 million or $40 million year-over-year. So that's a business that, it's kind of I'll say, a new-ish business. It's been around I guess for a couple of years, but is starting to have more attraction, as is everyone's, and ours is doing quite well. We think our technology is very good and industry-leading.
Alexia Quadrani - JPMorgan: Just a follow-up question then on Europe. You've seen some better performance in Continental Europe. Maybe France continues to be real negative, I think its sorts of an industry-wide issue. I guess, how much are you dependent on that stabilizing or can you continue to see better performance or some signs of recovery, further signs of recovery in Europe with the trends still staying weak?
John Wren: This is John, Alexia. I think Europe, we're pleased that it's stable to flat from what we see right now. We're not expecting any grand move from there. There is no one country that's going to lead all to us, one country that's going to lead Europe out of this current malaise that it's in, in reverse, we don't see anything backing up beyond what we've already seen.
Randall Weisenburger: And critical is individual agency performance. Agency even in a difficult market, goes out, wins a few clients, comes up with innovative ideas for their clients, and they're going to be able to drive their topline revenue. So that we can't loose track of that, obviously economic headwinds make it more difficult, but the individual agencies need to perform. And fortunately ours has been doing a pretty good job.
Operator: Our next question today comes from the line of Craig Huber with Huber Research Partners.
Craig Huber - Huber Research Partners: I have two questions. I guess my first one is that, appreciate the new revenue regional breakdown you guys gave. I was just wondering when will you be making available perhaps back to sort of beginning of last year on quarterly basis of those breakdowns, just so we can all update our models for that? Will there be an 8-K going up soon on that?
Randall Weisenburger: I wasn't planning on it. Let me try to pull the numbers together and see what we can do.
Craig Huber - Huber Research Partners: It would just be very helpful I think for everybody. I've had a number of questions this morning from analyst out there.
Randall Weisenburger: Okay.
Craig Huber - Huber Research Partners: And then also just you've mentioned what the net share buyback was in the quarter. Just wondering what was the gross amount of shares that you guys bought back in the quarter, please?
John Wren: 8,031,000, plus I think there was 147,000 shares that we effectively bought, if I am reading this right, for the exercise for -- basically with holding taxes on the exercise of restricted stock. So it's effectively bought in. They weren't open market purchases really.
Craig Huber - Huber Research Partners: And then also just talk on the revenue breakdown. You mentioned, U.K. was up I guess mid-single digits organically. What was the euro on the old basis if you have it, the euro-denominated markets, just so we can compare to what people were estimating in the quarter?
John Wren: I don't have it, sorry.
Craig Huber - Huber Research Partners: And then lastly, John, if I could ask you, you mentioned a bunch of internal investments that you guys were doing here, which is ongoing theme with Omnicom for many years, obviously. Is there anything you'd want to highlight that you're doing differently here on the internal investments that you can talk with us about, please?
John Wren: Well, we're following very much the patterns and making similar investments as we've made for at least the last eight, 10 quarters. We spend a lot of money on education, development of our people and that spread throughout the globe now in a fairly consistent basis. There is a lot of investing that's going on in Annalect and all the associated digital capabilities that we're increasingly able to do. And I see that is something we will only continue and increase as time goes past, because we're spreading those tools and that capability into the creative departments of our various agencies at this point.
Randall Weisenburger: In another way, worth mention is the eg+ platform.
John Wren: Production and digital.
Randall Weisenburger: That will be -- it is off to a great start. It will be, I predict, a fairly high growth area over the next several years.
Operator: Our next question today comes from the line of Julien Roch representing Barclays.
Julien Roch - Barclays: The first one is on revenue. WPP has moved from reporting all, telling us to focus on revenue to gross margin, because of the proprietary revenue they're taking on with Xaxis. And this morning, Publicis said there was $17 million to $18 million of principle revenue in their numbers. I was wondering whether there is some of that in your revenue, if we could get a number or if it is actually zero. That's my first question. The second question on the very good Q2 organic, I know you said it was due to individual agency performance, to your focus on technology, but Publicis had a pretty dire quarter. And when you look at what Interpublic has reported, what WPP and Accuen are supposed to report, clearly everybody is taking market share from Publicis this quarter. So do you feel there's a bit of your revenue lines coming from that is my second question? And then the third question is on share buyback. Historically, you're doing all of your cash flow in buybacks and dividend. You have other spend last quarter to catch up the pools, due to the merger. So could we get a sense of -- I mean what quarters will you have spend and kind of the run rate of buyback for the coming quarters?
Randall Weisenburger: Let me take a shot at that.
John Wren: Sure. Go ahead.
Randall Weisenburger: So first of all, we obviously all report in accordance with GAAP or IFRS. I think they are reasonably consistent on the points. So if we end up taking principal position, basically buy an asset that we're reselling to a client, we'll need to take it on a principle basis. I don't fully understand everyone else's business. I did hear what WPP said. I have not yet heard what Publicis said. The WPP numbers for Xaxis, again, I don't fully understand everything that's there. I think our business that's like that as Accuen, and as I mentioned in my comments, Accuen is doing very well, year-over-year growth was about $40 million for us. How much of that you'd attribute to, in services or just the media cost, because the way it makes its money is it buys media and sells it. So it's obviously, its service intact is embedded in that number, but that year-over-year growth number is about $40 million for us. I am probably skipping questions too, because I don't remember exactly what it was. But I remember the share buyback question. What we told people coming out in I guess mid-May is that we were going to resume our share buyback. We wanted to refocus that our first priority is to pay a solid dividend. We've been increasing our dividend fairly substantially over the last several years, we did it again. We're up to just shy of probably $500 million a year of dividends. We want to make all of the acquisitions that we can that are accretive for our shareholders that are on strategy for Omnicom to build our business for the long-term. And then the balance, we're going to balance out our capital structure with share buybacks. We had accumulated quite a bit of cash during the period that we were not buying in stock. So we estimated that we buy about 1.25 billion of shares by the end of the first quarter of 2015. So we have made a lot of progress towards that this quarter with $550 million or so. We didn't say, the specific timing of how fast we would do that, we'll obviously keep track of it and stay focused on our overall business.
John Wren: Second question had to do specifically with Publicis. And plus we've won a lot of business this past quarter, I don't believe Publicis is where we have gotten it from. I think our wins really have come from Interpublic and from WPP and that's where the growth and expansion has come out of. Some of it hasn't been announced yet either. It will get announced shortly, but that's principally where it's been.
Julien Roch - Barclays: Again, just if you can refer upon Accuen, and thank you very much for giving the $40 million figure. But you had said everybody is doing it differently. And you said, you don't fully understand what exactly it's been doing. So on this business, the $40 million of revenue is something you take and then you buy and sell to clients. So I assume that you make no margin on that $40 million, or you just make the normal margin on what would have been the all commission, so say, 5% of $40 million and then a $0.15 margin on that. So is that correct?
Randall Weisenburger: No, the business is a little bit different than that. We're taking ownership of media. We're placing a principal -- I want to say bet, but principal bet. We are buying specific media and we are reselling that at a hopefully an increased price in most circumstances since the profit that we make, our revenue or our return is going to be based upon the difference between that purchase price of media and the sale price of media. Well, we then have to provide all of the services, all of the underlying technology, build the platforms, do the insights and take the risk. So it's a little bit of a different business model than straight agency-type model. And again, I think everyone is accounting for that is probably pretty similar. I don't know if there is a difference in IFRS and GAAP. The size of people's businesses or how they specifically trade that, that's business-by-business.
John Wren: I think there are some pretty vast differences. They are small numbers, first of all, at this point, but there is some vast differences in the way. I think WPP approaches it versus us. In our case, it's an opt-in, it's not all of our clients, it's only the clients that choose to participate in it. I even think one of our competitors has an independent sales force and is going out and trying to resell inventory that it might own to non-clients, other agencies in some cases. So at this point, it's early days, this business isn't fully developed, and we're just reporting what we did. So I don't know that you can draw a straight line and compare all the groups at this moment.
Operator: And we have a question from the line of William Bird with FBR.
William Bird - FBR: John, you talked a bit about some of your businesses that are seeing high client demand like Accuen. I was wondering if you could talk about, maybe some of the other services that are currently in greatest demand, particularly by those clients that tend to lead the ad market? And then, Randy, I was wondering if you could just talk about salary trends, the negative leverage in the quarter, and what you expect going forward?
John Wren: Well, the clearest businesses in terms of media growth that we have are the media and media-related activities, and that's because of the complexity of the marketplace and the changing channels. I see that only increasing in the near-term, as share of budgets and clients goes to video display versus where it's being spent now, which is a more traditional TV in some cases. So in the near-term there'll be greater media growth there. Also the other trend is clients, as evidenced in Nissan United, are looking for increasing help in us taking responsibility for simplifying a complex marketplace in order for them to achieve their goals and objectives. And so there are shifts going on within the business, realignment of some of the activities, some of the ways we approach and we administer activities. So those are the two principles for us at the moment. And then, the healthcare industry, separately, as an industry, has been very active.
Randall Weisenburger: Your negative leverage question. We didn't have negative leverage in the quarter. Obviously, on an aggregated basis, the margins were down. I went through this. Three primary drivers to that; first was FX; second was the merger cost that we went through; and then, third was mix. The statement I made is that if we actually go agency-by-agency, so we basically like-to-like in the common currency, margins were up a little bit, not a significant amount, but 4 basis points or 5 basis points at least. So from a salary leverage standpoint, we did not have negative salary leverage in the quarter.
Operator: Next we'll go to line of James Dix with Wedbush Securities.
James Dix - Wedbush Securities: Just one question, honestly, and following up a little bit on what you called out, John. I mean, I assume if you looked at your clients and you looked at their medium mix over time, it's been shifting to be a little bit more towards setting large digital platforms in a way from setting the traditional ones. Are you seeing any change in the rate of that trend, if you look at that medium mix, in particular for search, social and programmatic that those channels which you called out? And if you're seeing a change in trend there, do you think that's having any impact on the spending that's going to your media agencies, who you've called out is having particularly strong growth?
John Wren: The answer is, I believe, it is. Can I pinpoint it or predict it with any grand accuracy, no. In speaking to my media leadership, they believe more and more the shift is now permanent and it's only going to increase, as we're able to measure and increasingly measure results. And there is a lot of chatter in clients in terms of a desire to spend more money in this area. But we haven't seen a wholesale move. You know, what we've seen is the same trend that has been developing for the past several years, just continuing. But everybody is working in it every single day. There is going to be an increasing shift. I don't know if that's helpful, but truly what we see at the moment.
James Dix - Wedbush Securities: And you specifically, previously called out the visual, video display versus traditional TV. I mean is that part of the shift that you think is --
Randall Weisenburger: Yes, that's going on. Facebook is getting a lot smarter. Every one of the key players getting more competitive offering, different ways to do things, which are proving to be effective.
James Dix - Wedbush Securities: And I guess, my second part of the question is just, do you think that's having an impact on the spending that's going to your media agencies, on the fees or other types of revenue streams you're getting there?
Randall Weisenburger: I mean the amount of work that goes into some of these, I'll say, newer mediums is a greater amount of labor. Our agencies are generally getting paid for insights and creativity. The less of the executions they're doing is much broader, because of all these different mediums. The complexity of these new mediums is higher. So the labor required and the insights required is more. We're kind of at a stage that I think people need to be careful about on a longer-term basis. These are new mediums that are finding their spot in the world as a very useful medium. The old mediums, the traditional mediums, are also very useful for their right spot. So the breadth of opportunity is increasing, but I'm not sure anything is getting eliminated. They're just being utilized differently. So inevitably with anything new, you're going to see a very rapid growth period, once people find out it's appropriate use, but then it should level off at some point in time, whether that's a year from now or five years from now or 10 years from now. It's impossible to say because, frankly, new valuable uses of each of these new mediums is coming along everyday, as smart people with great creative ideas and insights figure out more and more ways to utilize it.
Randall Weisenburger: And thank you, everyone, for taking the time to listen to our call.
Operator: Ladies and gentlemen, that does conclude our conference for today. We thank you for your participation and using the AT&T Executive Teleconference Service. You may now disconnect.